Operator: Good afternoon, and welcome to AbCellera’s Second Quarter 2021 Financial Results Conference Call. My name is Mel, and I will facilitate the audio portion of today's interactive broadcast. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] And please be advised that this conference is being recorded. At this time, I would like to turn the call over to Mr. Tryn Stimart, AbCellera’s Chief Legal Officer and Chief Compliance Officer. Sir, please go ahead.
Tryn Stimart: Thank you. Good afternoon, everyone, and welcome to AbCellera’s second quarter 2021 business update. We are pleased to have you with us today where we will discuss the results announced in our press release issued after the market closed today, which you can find in our Investor Relations website. With me on the call are Dr. Carl Lars Hansen, AbCellera’s Chief Executive Officer and President; Andrew Booth, AbCellera’s Chief Financial Officer. The webcast portion of this call contains a slide presentation that we will refer to during the call. Those of you following along on the phone who wish to access the slide portion of this presentation may do so on the Investor Relations section of our website. For those who have access to streaming portion of the webcast, please note that there may be a delay and that you will not be able to post questions via the Web. This presentation may contain forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any forward-looking statements are based on management's current expectations and are subject to certain risks and uncertainties. Please review our SEC filings for risk factors that could impact our future performance. Our presentation and SEC filings are available on our Investor Relations website. Note that all dollars referred to during our call today are US dollars. Now, I’m pleased to turn the call over to our CEO, Carl Hansen.
Carl Hansen: Thank you, Tryn, and thank you to everyone for joining us today. It's my pleasure to provide an update of the second quarter of 2021 in which we continue to execute on our long-term strategy for growth. First, we closed the quarter with nearly $800 million in cash and over $60 million in accounts receivable and accrued accounts receivable. In addition to our strong liquidity position, we maintained our forward momentum, showing strong growth in our core business across key performance indicators, including 19 new programs under contract bringing our total number of programs to 138; 16 programs starts, bringing the total number of starts to 60; and three new molecules that have entered into the clinic, bringing the total number of molecules in the clinic to four. Two of those molecules are from our COVID-19 program with Eli Lilly, which continues to be both a proof point for our technology capabilities and business model and a source of non-dilutive funding. Unfortunately, and despite vaccine rollout, we are seeing a strong uptick in COVID-19 cases globally with well over 100,000 cases reported daily in the U.S. alone. Our first COVID-19 therapeutic antibody is bamlanivimab. Bamlanivimab administered together with etesevimab was paused in June because at the time, the beta and gamma variants, which are resistant to this combination were prevalent in the U.S. Today, the most prevalent variant, both in the U.S. and globally is the Delta variant. Preclinical data demonstrate that bamlanivimab and etesevimab administered together retain utilization activity against the Delta variant, as well as other variants currently in circulation in many countries. I note that there is an existing supply of bamlanivimab and etesevimab that we believe could be used effectively to help patients today, both in the U.S. and around the world. Our second therapeutic anybody for COVID-19, 1404, which is now known as bebtelovimab, is currently in Phase 2 clinical testing with Eli Lilly. Preclinical results posted to a preprint server in June demonstrate that bebtelovimab is an exceptionally potent antibody that binds to a highly conserved region of the spike protein. The data also show that bebtelovimab is effective against all variants of concern and of interest, including the Alpha, Beta, Gamma, Epsilon, Iota, Kappa and Delta variant. Bebtelovimab is being evaluated alone and in the three-way combination together with bamlanivimab and etesevimab. As indicated in our last quarterly call, we expect top line data from these trials this summer. We look forward to clinical results from Eli Lilly on the use of bebtelovimab and believe it has strong potential to be an effective tool in the long-term fight against COVID-19. As previously noted on earnings calls, our work in COVID-19 represents only one program in our portfolio. In total, we have 138 programs under contract with 33 different partners. These programs span nearly every indication for its therapeutic antibodies and associated modalities are used. Of the 138 programs in our portfolio, we know the therapeutic areas for 95 of them, with the remainder attributable to slots into which targets have yet to be elected. These programs target indications in oncology, pain neurodegeneration, infectious disease, autoimmune disease, allergic inflammation, ophthalmology, women's health, cardiovascular disease and metabolic disorders. Beyond therapeutic areas, our portfolio includes a range of different target types. About 28% of the targets are part of the selected fall into the difficult or challenging area and may well be considered intractable using legacy technologies. These include multipath transmembrane protein targets, high homology targets, peptide MHC complex targets, and others. In pursuing therapies against their targets, our partners are looking to leverage the next generation of antibody modalities. Each of these brings its own specific and demanding requirements, making diversity and data analytics critical. Today, we're working with our partners on programs that cover the full range of target modalities, including IgGs, IgMs and IgAs, bispecific antibodies, leveraging our proprietary OrthoMab technology, single-chain antibodies, CAR-T cell therapies, radioisotope conjugates, and CNS-delivered antibodies. The value our capabilities provide to partners is reflected in our deal structures, which include downstream participation that directly increases with the challenge of finding the right antibody for the target. While the majority of our programs with downstream participation are with partners that are publicly listed companies, mostly in the large-cap and mid-cap bracket, we also work selectively with much earlier-stage ventures. Most of these programs are with companies considered biotech. But for a significant number of programs, you're working with a range of global pharma partners. During this work, we aim to create long-term shareholder value, building a large and diversified portfolio of royalty and other downstream positions in the next generation of antibody-based therapies. And we are seeing that our portfolio capture strong diversification across therapeutic areas, modalities, and partner types. Within the total portfolio, we have started work on 60 programs. Currently, once we delivered candidate and the associated data packages to our partners, they take on the late-stage preclinical development that ultimately lead to an IND application. This process typically takes two to four years depending on the program and depending on the experience and resources of our partners. As previously discussed, we plan to greatly accelerate the timeline to IND application down to one year through forward integration adding CMC and GMP manufacturing capabilities to our tech stack. This quarter, we secured a site for our new 130,000 square foot antibody manufacturing facility. When complete, this facility will allow us to provide our partners with a full and integrated solution that goes from target right through to IND submission. Turning to business development, our pipeline continues to be strong showing strong demand for our partnership business and adding more deals with different types of companies. Of the 35 programs under contract that were added in the first half of this year, all programs include downstream participation, typically achieved through clinical development milestones, commercial development milestones and royalties. Over the past year, the general trend has been increasing royalty positions, reflecting additional technology capabilities and expanded scope of work and are recognized leading position in the market. This also encompasses partnerships with equity or equity like positions as a way for us to capture yet more value. What I'm excited about this quarter is that we announced two new deals, one with Tachyon and one with EQRx, that represent a further amplification of our business model, through which we have the option to invest in the subsequent stages of preclinical, clinical and commercial development for a greater share of the assets. We believe that these deal structures have the potential to create more long-term value for our shareholders, providing the option to deepen our position in select programs and in turn yielding economic similar to an internal pipeline while still staying true to our business model of being a technology enabler for the industry. Today, our approach is to capture downstream value can generally be grouped in three broad categories. First, royalties and milestones or milestone payments are earned at various points of clinical and commercial progress and royalties that are typically but not exclusively in the low to mid single-digit range. Second, discovery partnerships with equity or equity-like participation, which has been a feature within the last year of deals that include Invetx, Abdera and Angios. And third, deals that include an option to invest, as mentioned, which are similar to those we've announced with partners Tachyon and EQRx. Within our portfolio of 138 programs under contract, we have an equity or equity-like position in about two dozen programs and we have almost a dozen programs where we have the option to invest in the molecules we discover. In the future, we may expand our deal types further as we explore new ways to capture the value of our partnership model. To lead our BD efforts and the expansion of our commercial team, we recently welcomed industry veteran Neil Berkley as Chief Business Officer. Neil brings more than 20 years of strategic planning and corporate and business development expertise across a wide range of transactions and therapeutic indications. We are excited to have him join our leadership team. Before handing off to Andrews to discuss the financial results, I'd like to re-emphasize how our efforts today support our long-term vision for making drug discovery faster, more efficient and more cost effective. First, we believe our technology can solve discovery problems and unlock new opportunities for therapeutic antibody development and that this will be a source of continued growth within the industry. Second, our strategy emphasizes technology integration at scale. This is not just a state-of-the-art technology in IP but also the assembly of a world class team of scientists, data systems, facilities equipment, and processes into a high performing whole that is a critical advantage to achieving compounding returns and to creating a long-term competitive advantage. Third, we are leveraging vertical integration as a central theme to accelerate and also to have control over the entire preclinical process. And fourth, we're continuing to invest in technological differentiation to broaden our reach across the industry. Examples of this include our bispecific [indiscernible] technology, as well as internal efforts that we believe in time will unlock high value target spaces that are currently out of reach. In the long run, our goal is to replace the legacy technologies of today and the traditional model of doing business, and to help the industry continue its growth and become more efficient. We believe that we have already established a world leading technology position which we are now bringing to the market at scale, and that we have created a new technology curve that will lead to continual improvement not just now but for decades to come. And with that, I'll turn it over to Andrew Booth, our CFO, to provide an overview of our second quarter 2021 financials.
Andrew Booth: Thanks, Carl. Let me start by highlighting our key business metrics. We ended the first half of 2021 with 138 programs under contract with 33 different partners. That's an 82% increase in programs under contract as compared to the end of Q2 in 2020. We continue to see the combined positive impacts of investment in our business development team and the increasing awareness of our platform on our business development activity. In the quarter, we added Tachyon and EQRx, as well as two other new undisclosed partners to our partnership portfolio. As is the case for all new programs under contract after 2018, the 19 new programs in Q2 include downstream participation for AbCellera. Reflecting the substantial value we bring to both Tachyon and EQRx programs, we have negotiated the ability to deepen our position in the participation of the success of the molecules we discover. We are doing this through auctions to invest in the molecules for a greater share of the resulting product sales. Also in the quarter, we started six more programs to take us to 60 cumulative starts, eight of which occurred during the first half of 2021. We continue to build capacity and to engage with many partners on preparations for their program starts. We expect a robust number of programs starts in the second half of 2021 as a part of this general -- generally accelerating trend. And while starts will always be somewhat irregular, the increase in programs under contract is a leading indicator of the longer-term trajectory expected for programs starting. Starting this quarter, we will share with you our new business metric, molecules in the clinic. Molecules in the clinic represent the number of unique molecules for which an IND or equivalent application has been approved based on an antibody that was discovered by us or by a partner using licensed AbCellera technology. We do this metric as an indication of our near and mid-term potential revenue from downstream milestone fees and royalty payments in the longer term. In Q2, three more molecules have followed bamlanivimab to reach the clinic, taking us to a total of four. Carl has already talked about bebtelovimab, reaching Phase 2, the second antibody from our COVID antibody program with Lilly. The other two, NBL-012, which recently reached Phase 1, and NBL-015 with an approved IND are molecules which NovaRock discovered using the Trianni flagship mouse under license. We congratulate the team at NovaRock on achieving these important milestones and wish them well in their quest to help patients suffering from inflammatory diseases and those suffering from gastric cancer. As you can see the change in metric from our former reporting of discovery programs in the clinic was required to reflect two new dynamics. First, one program can yield multiple molecules as is the case for the single COVID-19 antibody discovery program with Lilly having produced both bamlanivimab and bebtelovimab. Second, as a part of an acquisition, we may come to own stakes in molecules for which the company is also entitled to milestone payments and royalties although the discovery was not performed as AbCellera program. This is the case for several Trianni humanized rodent license agreements like the one with NovaRock. We believe that this updated metric together with the additional list of molecules will give you a better understanding of AbCellera’s clinically advanced downstream portfolio, a portfolio that already includes over a dozen other preclinical assets resulting from AbCellera discovery programs that have downstream participation for the company. Turning to revenue; revenue in the quarter was nearly $28 million, 2.5 times what it was in Q2 of 2020. We earned over $20 million in royalties from Lilly sales of bamlanivimab in combination with etesevimab that were not present in the second quarter of 2020. A reminder that directly attributable to the royalty revenue we earn from the lease sales of bamlanivimab were approximately $3.5 million in royalty fees payable to the NIH. As discussed on our last earnings call, we expected royalty revenues in Q2 to be well below where they were in Q1 -- as per in Q1. As per Lilly’s recent guidance, the outlook for royalties from Lilly’s sales of existing COVID products for the remainder of 2021 is likely diminished. Nevertheless, we believe there's potential for sustained revenue from COVID products including bamlanivimab and bebtelovimab for three key reasons. First, COVID is unfortunately but apparently on a trajectory to become endemic. Second, bamlanivimab, together with etesevimab that has neutralization activity against the majority of variants including and in particular, against the now dominant Delta variant. And third, bebtelovimab has been shown in preclinical studies to be highly potent and effective against variance of concern including the Delta variant. As previously noted, we view all royalties from COVID products as a non-dilutive source of funding for the company. And importantly, as a proof point of what happens when one of the many programs in our portfolio is successful. In our Trianni platform, an acquisition which we completed in 2020, it continued to contribute directly to our top line, generating milestone payments of $1 million and licensing fees of approximately $300,000 in the quarter. That brings the total revenue from the Trianni platform in the first half of the year to over $20 million. The primary benefit of the Trianni platform of course lies in enhancing the technology stack of our discovery programs. And we continue to invest and develop the next generation of animals internally to expand those capabilities. And we're pleased to see the licensees succeed with the Trianni flagship mouse in their own programs. Lastly, on research fees of approximately $5 million in the quarter, which are attributable to the range of discovery programs we worked on for our partners. This is $3 million less than in the second quarter of 2020, where we received substantial fees from our paid COVID-related work with DARPA and with Lilly. Looking at operating expenses, our research and development spend in the quarter was $15 million, a nearly $6 million increase over the previous year. We expect that our investments into R&D will continue to grow as we keep expanding our R&D team’s capabilities and capacity. This allows us to deliver on our partner programs as well as to enhance our technologies in sales and marketing expenses for the quarter were just over $1 million, a nearly threefold increase from the same quarter in 2020. This reflects the ongoing growth of our business development team, capabilities, reach, and capacity to connect with the strong global demand that we continue to see. General and administration expenses for the quarter were roughly $11 million compared to nearly $2 million in the second quarter of 2020. Almost $5 million of this increase are related to higher noncash stock-based compensation companies. The increase is otherwise driven by the need to support a much larger business and the associated legal and corporate requirements of being a publicly-listed company, as well as ongoing investments to protect our intellectual property. For the second quarter, we are reporting a net loss of approximately $2 million compared with nearly $7 million profit in the second quarter of 2020. In terms of earnings per share, this works out to a loss of $0.01 per share on both the basic. This approximately breakeven result is the net effect of, on the one hand, our ongoing investments to expand and enhance our discovery program and to grow our diversified portfolio of long-term stakes in the next generation of antibody drugs and on the other hand, the early success in the market. Looking at the entire first half of the year, we have generated revenue of $230 million and a net income of over $150 million. That equates to an earnings per share of $0.42 on a basic and $0.36 on a diluted basis year-to-date. Turning to cash flows, operating activities for the first six months of 2021 contributed almost $267 million which includes the collection of the accrued accounts receivable balance from December 2020 and the strong first quarter of royalties earned from bamlanivimab. On the investing activities side, the first half to the year shows the $33 million land purchase for our GMP facility in Vancouver. Note that half of this investment will be reimbursed from our government of Canada FIT funding, making the net investment approximately $17 million once the claim has been received. The roughly $21 million of cash flow to equity investees in the first half, included investments for construction financing of our facilities. This cash funding will be returned to us upon completion of construction and on the subsequent more market take out financing, earning us low single digit interest in the interim. We finished the quarter with almost $793 million of cash and cash equivalents and nearly $65 million of accounts receivable and accrued accounts receivable. In the first half of the year, we built this strong liquidity position that allows us to execute our strategy and continue to build capacity, expand the platform and pursue business and corporate development initiatives. And with that, we'll be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] And the first question comes from the line of Tiago Fauth with Credit Suisse. Your line is now open. You may ask the question.
Tiago Fauth: Hi. Thanks for taking the question, and congrats on the progress. So just a couple of questions for me on the business development context here. So you've added another 19 programs under contract, which again combined with your Q1 results kind of puts you well ahead – well, at least for our modelling. But I'm curious if you can provide any comments on the actual pipeline and what does it look in terms of leads? Is this space a new phase that is actually sustainable over the remainder of the year? And similar question then from new program starts, again, you went from two on the first order to six and you provided some comments around that area. But is this increase also something that is sustainable as you grow the programs under contract portfolio? Thanks.
Carl Hansen: Thanks, Tiago. Carl here, and I’ll take those questions. So first, with respect to the addition of 19 programs under contract and whether or not that's sustainable. Our view is that every indication is that there’s very strong demand for offering and we have only just begun to really build out the commercial force. When we launched into the year, the strategy was to build out capacity and to start to build up the business development team. The addition of Neil has been a great boost there as well as other senior members that we've brought onto the team recently. That, combined with a growing recognition of our leading position in the industry and the expansion of our technology base, and particularly the Trianni platform and the OrthoMab platform, I think, are all strong tailwinds for the future. I'll just temper that by saying that we do expect there to be variability from quarter-to-quarter and we are taking a long view on the commercial enterprise. And in the long view, we do expect strong growth driven by business development and by expanded technology. n terms of the execution, there was I think a healthy uptick from two starts in last quarter to six starts this quarter. As discussed last time, that will also be variable from quarter-to-quarter. But generally, as the business development pipeline goes up and as we start to build out the capacity, we do expect that trend to be positive, although I wouldn't say that necessarily be so from quarter-to-quarter.
Tiago Fauth: Perfect. Now, I understood. Congrats again on the progress.
Carl Hansen: Thanks, Tiago.
Operator: Thank you. We have the next question comes from the line from Gal Munda of Berenberg. Your line is now open. You may ask a question.
Gal Munda: Yeah. Hi. Thanks for taking my questions. The first one is just kind of expands on what we were just talking about and thinking about existing capacity that you have. I guess the 19 starts in the quarter is pretty impressive, but how do we think about the capacity? What could be doable if your commercial team really ramps up to where you wanted to be, say, in a year or so?
Carl Hansen: Thanks, Gal. Carl here, and I'll take that one again. First of all, I think it's important to stress that the program starts are currently not bottlenecked by capacity. There's a delay between putting programs under contract and getting a work plan in place and having the reagents and the kick-off meeting that are needed for us to count that as a start. And so because of that, there is often work that is done for some time assembling all of that material to begin that happens prior to us reporting off a program start. Also, we have the capacity today to do significantly more programs. Of course, when we don’t have those starts ongoing, we also have a very heavy investment on platform development and we have the ability to ship that back and forth if needed, as well as the improvements in technology and efficiency that comes with the data science, we don’t anticipate a pinch on capacity and execution although, of course, we need to keep our foot on the gas to make sure that remains the case.
Gal Munda: Okay. Perfect. And then just kind of thinking strategically right now the way you think – the way you’ve been engaging obviously you have downward - downstream participation with all your new programs under contract. But just when you engage with partners, what do you tend to prefer these days thinking something along the lines of also equity investment and the way you’re thinking about equity participation or potentially a smaller less developed partner who has a big upside I guess because of that? Or how do you balance that with kind of your flagship pharma customers when you're kind of thinking about taking new programs?
Carl Hansen: Yeah. I would not say that we have a preferred customer profile or a preferred business model. What we focus on is finding the perfect match between the partners’ needs, the technology and the structure of the deal that we're putting in place. And what we're looking for there is to find high-quality partners that are working on great science. To date, we have managed to secure what I consider to be an elite group of partners that have the wherewithal to develop drugs or that have very innovative ideas at the early stage of the process and are needing the technology to move that forward. This quarter, a great example of that is the deal where we've taken a different deal structure and one where in addition to providing and right now created an option for us to deepen our position in these programs with the ability to invest at various stages. So that’s in deal making in a way that aligns interests and creates maximum value for our shareholders.
Gal Munda: Thank you. Thanks, Carl. Appreciate it. Have a great rest of the day.
Operator: Th. Next question we have from the line of Stephen Willey of Stifel. Your line is now open. You may ask your question.
Stephen Willey: Yeah. Good afternoon. Thanks for taking the questions and congratulations on the progress. I guess, maybe just an initial question on business mix. So I guess when you look at the programs under contract, which you have vast participation, I think you said there’s 115 of them. I see that there's 24 that's within global pharma. I’m just kind of wondering if that 20% or so distribution is in line with where you want the mix of business to be. And I guess, is it a little bit more challenging to win some of that business on the big pharma side just given the fact that there may be some internal infrastructure on the workflow side or maybe just some inertia or I guess anything that you can speak to on that front?
Carl Hansen: Sure. Thanks for the question. I think where I’d start with that one is that AbCellera has a platform that we've built over the last 10 years, that is both able to solve problems that have traditionally been out of reach and also is exceptionally versatile. And I believe that's reflected in the diversity of our portfolio. So if you look at our portfolio and the programs, we've got everything from the small private companies to the large pharmaceutical companies. We're working on pretty much every indication for which antibodies are being developed. We are doing programs that are connecting into a whole range of modalities, including classic antibodies and next generation molecules. So in many ways, there’s a lot of diversification in that portfolio and that is a key part of our strategy. On the flip side, all of those programs have something in common and it is that we have conviction in the science, we have conviction and faith in the leadership teams. The deal with EQRx being a terrific example of seasoned drug developers that are taking a very innovative commercial approach to developing drugs. And of course, all of those programs have also in common that they are being driven on best-in-class technology and that is the value that we're bringing to the partnership.
Stephen Willey: Okay. And then I guess when you look at the mix of targets, I guess whether it's launching or a bit more conventional, is there a correlation there between I guess targets that are deemed to be difficult in the business mix, i.e. is…
Carl Hansen: Absolutely.
Stephen Willey: I think I'm not the only one who's lobbying to the more difficult targets?
Carl Hansen: That's correct. I mean, I would -- it's not a hard rule. But as you might expect, the large and highly enabled groups are the ones that have spent a decade or more building up their own technologies, their own teams, and expertise and capacity. And so there will be many programs that they have for which they believe they have the tools at most to prosecute those. Our objective in the long run is to be able to show increases in speed and efficiency that can help us to better capture that market and to provide value to those customers in those targeted classes. But those large and enabled groups also have a big roster of programs that have either been worked on ineffectively or have been put on the shelf because they're generally deemed to be intractable. We are laser focused on the investments to push back that frontier of technology and unlock those target spaces. In many cases, a good example will be in GPCRs and ion channels. We’ve had success, I believe we’re at the front of the pack, but the work is not yet done. So this is an effort that’s going to persist in the coming years and over time, I believe we’re going to be able to help those groups to move forward with therapeutic into areas that have been neglected, not the reasons of a lack of targets or clinical validation but rather for technology limitations.
Stephen Willey: Got it. That's very helpful. Thanks for taking the questions and congrats on getting three more candidates in the clinic.
Operator: Thank you. We have the next question comes from the line of Gary Nachman of BMO Capital. Your line is now open. You may ask your question.
Gary Nachman: Hi, good afternoon. First, on the three new molecules into the clinic. That would certainly good to see. The LY-CoV1404, we should see that data this summer. But when can we start to see some clinical data for the two new NovaRock molecules? And what sort of milestone does that trigger if you give us just order of magnitude?
Carl Hansen: Thanks, Gary. So first of all, the two NovaRock assets are at the very beginning of clinical development. One having just entered Phase 1, I believe and the other one with an approved IND application. So we typically structured deals to get milestones at the initiation of the various phases of clinical development, the Phase 1, 2 and 3. Phase 1 data normally doesn't take that long. Phase 2 trials are longer, depending on the indication and the clinical design of course enrolment. It's worth highlighting that NovaRock of course is the driver of those programs. And these are programs that we acquired through the acquisition of Trianni. So, they will be taking the lead in reporting out any data that comes from those development efforts. For us, it’s a terrific endorsement of the Trianni platform. And I hope and believe foreshadowing of what we may expect to come over the coming months and years from that platform will enhance the partners and also use extensively current technology stack.
Gary Nachman: Okay. And just to clarify. So when you show that NBL-012, that you're looking at three therapeutic areas, that's three separate programs, correct? So that's why you talked about earlier you could have a single molecule doing several different program?
Carl Hansen: No. I think what I mentioned in the – this is Andrew speaking, Gary. What I mentioned is that we can have one program or at cellular a discovery program that can yield multiple molecules that make it to the clinic. So the example there was the COVID program which counts as one program and one program start in our typical metrics, but it has yielded two molecules that have made it to the clinic. So bamlanivimab and etesevimab. In the case of the NovaRock assets, they're going after specific indications. And I think you can find the details of exactly how those clinical trials are getting set up publicly.
Gary Nachman: Okay. And then on…
Carl Hansen: I would like just to point out…
Gary Nachman: Oh. Go ahead. Yeah, please.
Carl Hansen: Yeah. I was just going to point out that we made that second metric for these molecules in the clinic where they're using license technology. And we did the Trianni acquisition which is we're going to working very well. It's a beautiful addition to the technology stack. We're able to integrate it immediately into our business development activities. And in addition, we are able to generate revenues from the licenses as we've seen well over $20 million. When we bought the portfolio – when we bought the company, it came with a portfolio of previous licenses that have been licensed out of which NovaRock is one. And there are over 20 of those licenses which have downstream milestones and royalties which we would expect to see hitting these metrics into the future. But just as a reminder that those 20 or so license programs because – that we have in our other key metrics, those are exclusively our own AbCellera programs. But when they have molecules that hit the clinic, we will count them in this other metric, it's one of the reasons we needed to change the definition of that metric.
Gary Nachman: That's very helpful. And then just you had on your recent new deal structure [Audio Gap] and so value. So I'm curious for this type of partnership and deals, how long were those in the work? Like, that could take a while to get those types of deals done? And then that's also sort of playing into the cadence that you're talking about, the new programs for the rest of the year. I'm just wondering if COVID, if that could cause any delays to some programs just in terms of being able to communicate with potential partners, that color would be helpful.
Carl Hansen: It's hard to put a hard number on what is the representative sales cycle, there's quite a range that depends on the firm and it depends on whether or not you come into any difficulty in negotiating the contract. Typically from first engagement to a signed term sheet is anywhere from a month to three months and from that term sheet to a contract can be a couple of months to much, much longer if you run into some contractual difficulties. It is important that we do have a strong funnel. So we maintain that activity and so you need to you need to keep working on this but there’s a robust to this development pipeline and we’re in good shape for the future.
Gary Nachman: Okay. Thank you.
Operator: Thank you. There are no other questions at this time. I would like to hand the conference back to Mr. Carl Hansen for closing remarks.
Carl Hansen: Okay. Thank you very much. Just would like to finish by thanking everyone for joining us today. And to reiterate that this is an exciting time for AbCellera and we're looking forward to ongoing calls to keep you updated on our progress in the future. Thank you, everyone.
Operator: Thank you. Ladies and gentlemen, that concludes today's conference call. Thank you all for participating. You may now disconnect.